Operator: Before we get started, let me remind everyone that through the course of the teleconference, Kinsale's management may make comments that reflect their intentions, beliefs and expectations for the future. As always, these forward-looking statements are subject to certain risk factors, which could cause actual results to differ materially. These risk factors are listed in the company's various SEC filings including the 2020 Annual Report on Form 10-K, which should be reviewed carefully. The company has furnished a Form 8-K with the Securities and Exchange Commission that contains the press release announcing its second quarter results. Kinsale's management may also reference certain non-GAAP financial measures in the call today. A reconciliation of GAAP to these measures can be found in the press release, which is available at the company's website at www.kinsalecapitalgroup.com. I will now turn the conference over to Kinsale's, President and CEO, Mr. Michael Kehoe. Please go ahead, sir.
Michael Kehoe: Thank you, operator and good morning, everyone. We appreciate you're joining us on the call today. Bryan Petrucelli, Kinsale's, Chief Financial Officer; and Brian Haney, Chief Operating Officer are with me as well. After each of us make a few comments we will then take any questions you may have. Kinsale's operating earnings for the second quarter 2021 were $1.28 per diluted share, an increase of 52% from the second quarter of 2020. Gross written premium was up over 45% for the quarter. The company posted a 79.5% combined ratio and an 18.2% annualized operating return on equity for the first six months of 2021. These numbers are well ahead of our guidance of a mid- 80s combined ratio and mid-teens operating return on equity. Kinsale's results were driven by our unique business strategy that combines focus on the small account E&S market, control over our underwriting operation and technology-enabled low costs but they are also driven, especially the 45% growth rate in the second quarter from the continued favorable market conditions within the E&S segment. We continue to see steady growth in new business submissions, which we see as a bit of a leading indicator and we continue to see low double-digit rate increases across the book of business, which are positively impacting our margins. Brian Haney will offer some additional commentary on this topic here in a moment. We are optimistic about market conditions for the balance of the year and perhaps next year as well. Regarding capital levels, the company is well situated currently and we don't expect to need any additional capital this year even with the strong growth rate. To the extent that we do need additional capital next year, we would expect to use debt in lieu of equity capital. I'll now turn the call over to Bryan Petrucelli.
Bryan Petrucelli: Thanks, Mike. The results for the second quarter continue to be strong and driven by solid premium growth, favorable loss experience and disciplined expense management. We reported net income of $35.6 million for the second quarter of 2021, representing an increase of 17.8%, when compared to $30.2 million last year and due primarily to higher earned premium and net favorable loss reserve development. Net operating earnings increased by 54% to $29.4 million, up from $19 million in the second quarter of 2020. The company generated underwriting income of $28.7 million and a combined ratio of 79.2% for the quarter, compared to $15.7 million and 83.8% last year with improvements to both the loss and expense ratios. The combined ratio for the second quarter of 2021 included 6.6 points from net favorable prior year loss reserve development and 2.1 points from cat losses, compared to 3.7 points of favorable loss reserve development and negligible cat losses last year. The cat losses this quarter were primarily related to development on losses from a couple of the Texas winter storms. Our current accident year loss ratio exclusive of cat losses, decreased slightly in recognition of ongoing favorable pricing trends that Mike previously touched on, we expect there will always be some variability in our quarterly expense ratio and our 21.7% expense ratio for this quarter continues to benefit from some economies of scale, given that our earned premiums are growing faster than our operating expenses and from slightly lower relative net commissions as a result of a shift in the mix of business to lines that are subject to reinsurance and where we receive ceding commissions. Our effective income tax rate for the quarter was 18.5%, compared to 14.8% last year and higher due to lower tax benefits from stock compensation activity this quarter. Annualized operating return on equity was 18.2% for the first six months of this year. And again, as Mike stated, ahead of our mid-teens guidance. Gross written premiums were approximately $194 million for the quarter, representing a 45% increase over last year, due to the favorable market conditions that Mike mentioned, and also superior – our superior service standards. On the investment side, net investment income increased by 11.8% over the second quarter last year, up to $7.4 million from $6.6 million last year, as a result of continued growth in our investment portfolio. Annualized gross investment returns excluding cash and cash equivalents was 2.6% for the year so far compared to 3% last year. Diluted operating earnings per share was $1.28 per share for the quarter compared to $0.84 per share last year. And with that I'll pass it over to Brian Haney.
Brian Haney: Thanks, Bryan. As mentioned earlier, premium grew 45% in the second quarter up 36% -- up from 36% in the first quarter and 34% in the fourth quarter of 2020. The growth is generally driven by higher submission volume and rate increases as well as robust economic growth, which is driving up premiums. Every one of our divisions was up for the quarter led by allied health, excess casualty and commercial property. The reopening of the economy and the strong economic growth is providing us a significant boost. Submission growth was in the upper teens in the second quarter which represented a rebound from the first quarter. As for rates, we continue to push them up in response to market conditions. As a reminder, we have a very heterogeneous book of business which complicates reducing all the rate movement to one single number. But that all being said we see rates being up in the low teens range in the aggregate during the second quarter generally consistent with the past two quarters. Some data suggest that the industry is past peak rate increases at this point, but for whatever reason perhaps mix of business we feel that our rate increases have stayed high and not started to ebb. It is worth discussing inflation for a moment. It's important to note that a majority of our policies are written on inflation-sensitive exposure bases such as revenue or payroll. So as inflation goes up premiums go up commensurately for the bulk of our policies. Inflation also affects losses of course. And while our loss trends have been tamed we are noticing a general price inflation for the businesses we insure and in the economy on the whole. It is a matter of time before that shows up in loss trends for us and the rest of the industry. The biggest components of our losses are medical cost, lost wages, construction costs and legal costs all of which are going to be affected by general price inflation. We are aware of this and staying on top of it. Whatever the true inflation rate is and whether or not it is transitory, we are getting rate increases that are in excess of it so we are implicitly building on what we're already strong margins. We feel that elevated inflation will prolong the hard market because it will erode the margin improvement that insurers were aiming for with the increased rates. We feel we are in a good spot because we are raising rates not to correct the problem, but to further improve our already strong returns. But in any event the longer inflation remains elevated, the longer we expect the hard market will stay with us. In summary we are optimistic. We have a great team, great results as well as a strong balance sheet with conservative reserves. Our business model works well in any market hard or softer in between, but the current market conditions are really good. And with that I'll turn it back over to Mike. 
Michael Kehoe: Thanks, Brian. Operator, we're now ready to take any questions that come in.
Operator: Thank you, sir. [Operator Instructions] We have our first question from the line of Jeff Schmitt from William Blair. Your line is open.
Michael Kehoe: Good morning, Jeff.
Jeff Schmitt: Hi. Good morning. Just curious how you handle inflation from a reserving perspective. I think you'd have to have a view on whether it's sort of transitory or not you tend to be pretty conservative. Just wondering how you're accounting for that? 
Michael Kehoe: Yes. I mean, I think, we've spoken about this many times that it's a fundamental part of our business strategy to post reserves that are much more likely to develop favorably than unfavorably. And we're constantly reviewing actual experience against all the various actuarial assumptions including loss cost trends. And so as data comes in we adjust our estimates accordingly. As Brian said most of our policies are priced off of inflation-sensitive metrics. So to the extent inflation picks up that flows through the revenue that our insureds experience and our insurance premiums are priced off that inflated base. But does that kind of get at your question?
Jeff Schmitt: Yes. No I was just curious if you have to make a call on whether that's transitory or just how you handle that. But and then you had pointed out I think some of the areas of highest growth was allied health excess casualty. I think those areas have -- that's been are they, sort of, the farthest from rate adequacy, or is there just greater dislocation in those lines? Could you maybe touch on those? 
Michael Kehoe: Well, I would say, I mean, the rates we're charging those are adequate and we're earning like a really high margin. I would just say the industry has had some challenges in those areas. Commercial property has seen a lot of cat activity in the industry. Allied health there's just been a number of competitors that have sort of blown up writing that type of business. And excess casualty is a fairly common thing you would see in a market turn where people kind of get burned with soft market practices and then have to course-correct and that's what we see going on. So -- but I would say we feel pretty good about our rates and our experience in this.
Jeff Schmitt: Right. Yeah. And I was referring more to the market, are those areas where the market is farther off. I mean, you've been rate adequate obviously for some time but -- okay. Okay. Thanks fort the answers.
Operator: Thank you. We have another question from the line of Mark Hughes from Truist. Your line is open.
Mark Hughes: Yeah. Thank you. Good morning.
Michael Kehoe: Good morning Mark.
Mark Hughes: The 210 points of development on the Q1 storms was that inflation material costs higher than expected, or what drove that?
Michael Kehoe: I think it was a couple of claims where we were in an excess position. And on a larger commercial schedule there can be some ambiguity in the early days, hey, we think this loss is $30 million. And over the course of the adjustment process it turns out to be a higher number and if we're attaching excess of substantial retention, or an underlying schedule. I think it was that type of thing. I wouldn't attribute it to inflation per se. I think it was just ambiguity in the adjustment process and we were in an excess position.
Mark Hughes: Understood. How about -- when we think about social inflation I think you've spoken to this a number of times. But do you see any movement in the court systems, anything in your book that's been impacted by that? I think you stay away from most of that but could you give us a sense of what's going on in terms of activity or court movement let's say?
Michael Kehoe: I think in general I would say loss cost trend is real. We endeavor to stay well-ahead of it. I think given our focus on smaller commercial accounts, the fact that we put up smaller limits inoculates us a little bit from some of these nuclear verdicts and the like. I would say in terms of inflation we -- as Brian indicated hey to the extent that there's a general price inflation, we're going to see that along with everybody else. And certainly when property claims come in, material costs are up, labor costs are up. I'm sure we're seeing that in current estimates. But is it impacting our macro trends across our whole book of business? No, I think things are going quite well for us.
Mark Hughes: And then the reserve development in the quarter the 6.6 points, how much of that was 2020? 2020 was obviously an unusual year in terms of frequency and severity a little more depth. I know in some of your older accident years, you've had some less favorable development through time. How are you seeing that dynamic now?
Michael Kehoe: Yeah. I mean we are conservatively positioned across all of our accident years. That's a huge priority for us as a management team and as a business. We've gotten some dramatic rate increases the last couple of years. And I would say some of those more current accident years are even more conservatively positioned. And then 2020 also has the added issue of COVID where our reported losses were lower than we expected. And we offset that with higher IBNR just to make sure that we were well-positioned in the case there were some bounce back in reported loss activity. Each quarter that goes by we'll make modest adjustments to those assumptions to normalize the 2020 accident year with the prior years. But in general we're always -- every quarter we're looking at actual loss activity and comparing it against all the various actuarial assumptions that we make and we adjust. But I think you're -- in general I think from an investor standpoint one thing I would note is hey we're seeing a modest uptick in the amount of redundancy that's coming out every quarter. And I think that's largely a function of the pretty dramatic increases in price that we've been able to charge the last couple of years. So we -- again we feel very good about the reserves for the company. And we feel very good about the modest margin expansion we're starting to see on the bottom line.
Mark Hughes: Have you seen any bounce back off the 2020 accident year in terms of claim?
Michael Kehoe: No.
Mark Hughes: Okay. And then one final question. I'm sorry to drone on, but the Ryan Specialty's IPO was -- I think part of their discussion was that there is consolidation among the wholesale brokers. Any thoughts on whether that is the case that there's consolidation that that has any meaning in terms of your ability to get to the market?
Michael Kehoe: Well, there's definitely been consolidation. Ryan has acquired a number of firms, but the others have as well, and it hasn't had any impact on us. We do quite a bit of business with all the large wholesale brokers. And -- but we work with a lot of smaller. We kind of characterize them as national brokers. Some are more regional some are very local. There are some start-ups that have opened in the last couple of years. We work with them as well. But, certainly there's been a lot of acquisition activity, and as of today, it hasn't really impacted our business. So, we do quite a bit of work with all those firms and they're very good at what they do.
Mark Hughes: Thank you.
Operator: Thank you, sir. We have another question from the line of Casey Alexander from Compass Point. Your line is open.
Casey Alexander: Hi. Good morning. I have a couple of questions for you. First of all, kind of from a high level given the extraordinary growth rate that you're producing, to what extent does this eventually stress your manpower, your real estate footprint and your need to add some expenses to support this growth? And also -- and particularly in relation to the real estate footprint, how does work-at-home habits and work-at-home changes impact that dynamic?
Michael Kehoe: Casey, good morning. This is Mike. Yes, we -- listen, we've been growing at a strong double-digit rate for a number of years now. And of course, it puts a lot of stress on your management team. We're recruiting and hiring a lot of people. There's a big training component and the like. But hey, that's what we get paid to do and we've been working hard at it for a number of years now. So, that's kind of business as usual. In terms of the real estate footprint, there's no stress there. We've got plenty of capacity in the building that we occupy. What was the third part of your question?
Casey Alexander: Well, just how this work-at-home habits impact that?
Michael Kehoe: Yes. We're a work from the office team and we did move 90% of our employees home when the virus first hit back in, I guess, it was March or April of 2020. But by October, we're basically back in the office and given the number of new hires, the training component. We want those new employees to learn our culture. Working together in an office facilitates communication. A big part of our business strategy is delivering best-in-class service to our brokers. And all that -- all those goals are furthered by having everybody work together in an office. And so, that's how we're operating.
Casey Alexander: Okay, great. Thanks. And secondly, I would say, a year ago the discussion during the quarter you discussed that a decrease in the competitive environment and in the set of competitors was offered you kind of a clear vision towards accelerated growth over the course of the next year. How would you characterize the competitive environment now compared to what it was a year ago?
Brian Haney: I'd say, it's pretty flat. So, we've seen some new competitors but they tend to be small, and we've still seen some pullback from larger competitors. So on balance, it's more or less the way it was.
Casey Alexander: All right. Great. Thank you. I appreciate you're taking my questions.
Michael Kehoe: Thanks, Casey.
Operator: Thank you, sir. We have another question from the line of Rowland Mayor from RBC Capital. Your line is open.
Rowland Mayor: Hi. Good morning. When you guys talked about low-teens rate increases, is that pure rate or the effects of changing terms and conditions included in that number?
Brian Haney: It's pure rate. 
Michael Kehoe: Not including the effect that -- not including the effect of inflation on the exposure base.
Rowland Mayor: Got it. And is there any way to quantify sort of the impact of your tightening terms and conditions and say is that worth another one or two points, or is it the equivalent of one or two points of pricing or any...
Brian Haney: It would be tough to quantify. It's worth something.
Rowland Mayor:
Michael Kehoe: One or two is probably as good a guess as any.
Rowland Mayor: Got it. That was really my following question. I guess just to double enough Casey's comment we've seen a lot of companies talk about dialing up growth. Do you have in the next coming quarters is that -- that really hasn't worked down to you guys at all? It's not really entered your market yet higher competition?
Michael Kehoe: I mean there's -- look there's plenty of competition. I think Brian said it was steady from the prior year. Our hit ratio on new business submissions continues to be somewhere between 10% and 15%. It was the same last year. It was the same the year before that. So there's plenty of competition. It's just it's diminished from where it was five years ago or four years ago when we were in a very what I would characterize as a more intensely competitive market. It's a little bit less today but that doesn't mean there's no competition.
Rowland Mayor: No, that makes sense. Those were my only two questions. Congrats on the quarter.
Michael Kehoe: Thanks, Rowland.
Operator: Thank you. [Operator Instructions] We have another question from the line of Pablo Singzon from JPMorgan. Your line is open.
Pablo Singzon: Hi. Thank you. So my first question, it seems like the improvement in accident year loss fix call it about one point from the first half last year to first half of this year, is low in light of a gap we're getting between price increases. To your point, I think you said like low double digits in loss trends, which I think in the past you've said it in the mid-single-digit range. Can you share your thoughts on that? And maybe, is there an element of conservatism in the loss picture setting? And I guess, would it be reasonable to assume something to drift down in those loss picks over time?
Michael Kehoe: Yeah. Pablo, good morning, this is Mike. I would say, there's absolutely an element of conservatism in those loss picks. And I think they're highly likely to develop down over the years, as those losses come in and they're adjusted and settled out. And we're a relatively young company. It's our – I think our 12th accident year in business. But if you look back every accident year but one of the very early ones have developed favorably on an inception-to-date basis. And so that's a really important goal for us as a management team. We want people to have a lot of confidence in our balance sheet. And so yeah, absolutely, conservative reserves we're getting really good rate increases. And you match that up with a high-quality very disciplined underwriting operation, and we expect the margin expansion to continue incrementally.
Pablo Singzon: Got it. And along the same lines, could you speak about where you see the expense ratio trending? So obviously passengers has been going down even – even as the company has been expanding, right? But just given the strong growth in premiums that would likely persist for at least the next couple of years, how do you see that expense ratio trending?
Brian Haney: We obviously are making investments in human capital and IT. As we grow, there's a possibility, you'll see a little more drift down in that expense ratio. But I think, if you're looking over the long term, I think – seeing where it is now the 21% to 22% to 23% range over the long-term is probably where we would see it. But over the short term you could see a slight improvement in that.
Michael Kehoe: Yeah. Keep in mind that it's – a lot of it is mix of business as Brian said earlier on his comments. We reinsure some lines of business where we get a ceding commission, which could help push that down, if we saw an uptick in our excess casualty business for instance. So that's one big component. I think the variable is mix of business and then headcount.
Pablo Singzon: Got it. And then last question for me. Thanks for the update on capital, but can you remind us again what kind, or what levels being leveraged you'd be comfortable running at? And I suppose next year, your surplus could potentially be funded by debt and equity depending on how growth plays out. But I guess, just sort of big picture what kind of leverage Kinsale would be comfortable running at? Thanks.
Michael Kehoe: Yeah. I think it's a 20% debt to total capital is kind of our long-term target. I think we're about 6% today. So we got a ways to go. But that's why we made the comments about really as we need additional capital to grow the business, we would look to debt not equity at this point.
Pablo Singzon: Got it. And premium leverage – or actually that was the question, I should have been clear. Premium leverage and I guess depending on, how you grow right that will affect your premium leverage. But – and well to me affect, how much of that you might have to raise but what premium leverage would Kinsale be comfortable running at? Thank you.
Michael Kehoe: Yeah. The AM Best BCAR model, I mean it's a complex capital model. The big drivers within that are reserves and premium but that there's, other charges for growth and investments et cetera. And so there's no specific premium to surplus ratio that would be driven from the model but we just guesstimate somewhere in the -- a little bit higher than 1.2:1 net written premium to statutory surplus. That's not GAAP equity and GAAP equity and stat surplus are correlated but they're different numbers. So for what that's worth. Obviously, we're A-rated and AM Best is our -- that's our AM Best rating. That's a really important number for us. And we're going to maintain that A rating. So,…
Pablo Singzon: Okay.
Michael Kehoe: … 1.2 to 1.25 to 1 I think is a good guess.
Pablo Singzon: Okay. Thank you, thank you.
Operator: Thank you, Pablo. We have another question from the line of Jamie Inglis from PhiloSmith. Your line is open.
Jamie Inglis: Hi. Good morning. I'm interested in following up on your comments about inflation and how it helps you when it's your rates or your premiums are tied to revenue or payroll et cetera sort of allows you to participate in inflation on the revenue side. But how does it work? On the other side because if we pay a claim today the claims on a policy that was written a little while ago and it could be quite a while ago depending on the type of policy. So does the inflation today allow you to in a way sort of put more in the bank from a reserve point of view, or does that -- is it not work that way?
Michael Kehoe: This is Mike. I would say that this is going to be a very complex topic. How insulation works its way through our book of business. Clearly if we collect a premium today and settle a claim in three years that claim is going to be inflated which is a negative. The fact that we write a policy for $10,000, and at the end of the year the contractor that we're ensuring has charged higher rates because of inflation we're going to collect and audit additional premium. That's an inflation benefit. And there's, a lot of those that work their way through our business. But I would say, in general, we'd like stable pricing. But given the inflation-sensitive pricing mechanism it provides a little bit of protection. And then, I think Brian, was -- Brian Haney commented earlier that the conservatism in our reserve position provides additional protection. And then, I would also say, the fact that we tend to focus on posting lower limit policies probably provides another round of protection right? But there's, a lot of different things with inflation that would probably go either for us or against us.
Jamie Inglis: Okay. Great. Thanks for your help.
Michael Kehoe: You bet.
Operator: Thank you, sir. There are no further questions at this time. I will now turn the call back to Mr. Michael Kehoe for closing remarks, sir.
Michael Kehoe: Okay. Thank you operator, and thank you everybody for joining us. And we look forward to another positive call here in a few months. Have a good day.
Operator: Thank you, sir. Ladies and gentlemen, this concludes today's conference call. You may now disconnect. Thank you for participating. You have a good day.